Operator: Good day, ladies and gentlemen, and welcome to the Spirit AeroSystems Holdings, Inc.'s Fourth Quarter and Full Year 2015 Earnings Conference Call. My name is Abigail, and I will be your coordinator today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. As a reminder, this conference call is being recorded. I would now like to turn the presentation over to Mr. Ghassan Awwad, Director of Investor Relations. Please proceed.
Ghassan Awwad - Director-Investor Relations: Good morning. Welcome to Spirit's fourth quarter and full year 2015 earnings call. I am Ghassan Awwad. And in the room with me today are Spirit's President and Chief Executive Officer, Larry Lawson; and Spirit's Senior Vice President and Chief Financial Officer, Sanjay Kapoor. After opening comments by Larry and Sanjay regarding our performance and outlook, we will take your questions. In order to allow everyone to participate in the Q&A segment, we ask that you limit yourself to one question. Before we begin, I need to remind you that any projections or goals we may include in our discussion today are likely to involve risks, which are detailed in our earnings release, in our SEC filings and in the forward-looking statement at the end of this web presentation. In addition, we refer you to our earnings release and presentation for disclosures and reconciliation of non-GAAP measures we use when discussing our results. And as a reminder, you can follow today's broadcast and slide presentation on our website at spiritaero.com. With that, I would like to turn the call over to our Chief Executive Officer, Larry Lawson.
Larry A. Lawson - President, Chief Executive Officer & Director: Good morning, everyone. Welcome to Spirit's 2015 full year earnings call. As I reflect on the last year, there were a number of significant accomplishments that were achieved by the Spirit team. I'm thankful for their dedication, focus and commitment. We also celebrated a few major milestones with our customers on their journey to achieving a banner year for the aerospace and defense industry, and of course we made progress on some key objectives that I had defined at the beginning of 2015. As you may recall, I outlined five key objectives for Spirit in 2015. They were: first, to continue our focus on improved performance, increase productivity, reducing cost and aligning our business to do what we do best; second, to leverage our investments as we prepare for the rate increases ahead; number three, to continue our progress on the A350; fourth, to have a greater emphasis on long-term growth; and finally, to address how we deploy capital. Operationally, we had a very good year. Both Boeing and Airbus achieved record number of aircraft deliveries in 2015, reflecting continued strong demand for these best-selling aircraft. Given that tempo, we met our quality and delivery commitments to our customers and added to our statement of work. We addressed additional capacity with a $360 million capital spend last year in preparation for production increases in terms of rates of 12 per month on the 787, 47 per month on the 737, in addition to rate increases on the A320 and the A350. We continued our drive to lower costs at all of our sites and demonstrated improved productivity and quality across the board. Our centralization effort continued with the closure of two sites and consolidated functional operations. Our supply chain initiatives made good progress to include our make versus buy strategy. We executed a smooth transition of the 787 wing fixed leading edge from our Tulsa facility to our Malaysia facility, and at the same time we insourced the 787 nose wheel assembly back into our factory in Wichita. Just last fall, we delivered the first 737 MAX to Boeing on schedule, and we would like to congratulate Boeing on its successful first flight of the 737 MAX just last week. We also made good progress on the A350 program. In the fourth quarter, we delivered 14 shipsets including two A350-1000 units as compared to 8 shipsets including one A350-1000 unit in Q3. For the full year of 2015, total deliveries were 37 shipsets as compared to 16 shipsets in 2014. The average deferred inventory per shipset declined $1.2 million as compared to $2 million in Q3. Excluding some one-time adjustments, the results were even better. We're continuing our drive as a team as the whole A350 production gains momentum. We also supported Airbus' key milestones last year with the certification of the A320neo. Other significant 2015 milestones include the delivery of the first V-280 prototype to Bell Helicopter, which was on budget and ahead of schedule, which went from concept to delivery in just 22 months; the first flight of the KC-46 Tanker, the first flight test of the MRJ, and the delivery of the third and fourth CH-53K fuselages to Sikorsky. And of course, our engineering and development efforts on the 787-10 and 777X are progressing to plan as well. Financially, we generated record cash and record earnings per share. We were active in the market last year, and we bought 5.7 million shares, or 4% of our total outstanding shares, for $300 million. We used the remaining $50 million of our share repurchase authorization early this year, and the board of directors has authorized an additional repurchases of up to $600 million through 2017. In addition, the strong financial performance has enabled the full release of $242 million of deferred tax asset valuation allowance. And then finally, we continued to retire risk with the resolution of several historical claims. Now, turning to our 2015 financial results, we reported sales of $6.6 billion, an operating income of $863 million, and earnings per share of $5.66, which accounts for the impact of the 747 rate adjustment later this year. Adjusted earnings per share was $3.92 excluding the impact of the deferred tax asset valuation allowance. Full-year backlog was $47 billion, which represents seven years of sales visibility. Reported free cash flow was $930 million, and adjusted free cash flow was $738 million. Now, looking to 2016, we're leveraging what we've learned to continue our efforts to reduce our costs in all aspects of our business, from overhead to logistics, and leverage the organic growth of our programs as well as new business opportunities. We remain focused on both cash generation and disciplined cash deployment. We believe in the value of our company and the value of returning cash to our shareholders, as demonstrated by the execution of the previously authorized share repurchase program. Now, turning to 2016 guidance. We're guiding 2016 sales between $6.6 billion and $6.7 billion, earnings per share of between $4.15 and $4.35 for the year. In terms of cash and capital expenditures planned for this year, we expect to generate between $575 million and $675 million in cash from operations. CapEx is expected to be between $225 million and $275 million, and we are guiding free cash flow between $350 million and $400 million for the year. Our guidance factors in our current understanding of Boeing's recent announcements regarding the 777 and the 747. With that, Sanjay will lead you to the details of the financials, give you more specifics about 2015 and the guidance for 2016. And then of course, we'll be happy to take your questions. Sanjay?
Sanjay Kapoor - Chief Financial Officer & Senior Vice President: Thank you, Larry, and good morning, everybody. Let me take you through our 2015 financials, as there were a number of puts and takes that occurred, as well as go into the details of our 2016 outlook. First, I want to reiterate that both our 2015 results as well as our 2016 guidance factor in all the recent announcements made by Boeing last week. As Larry mentioned, we did have a very good year operationally, and I too would like to thank the entire Spirit team for their hard work in ensuring that we, again, also met our financial commitments. You'll recall we guided 2015 EPS of between $3.80 to $3.95 and free cash flow of between $700 million to $800 million. And today, we reported EPS of $3.92, which includes the impact of Boeing's announced 747 rate reduction. This rate reduction resulted in a $7.3 million charge, and we were able to absorb this and remain within the higher end of our guidance. In addition, we generated $738 million in free cash flow. That warrants more detailed explanation, which I will get to in a moment. We also met our commitments to our customers and delivered 1,457 shipsets, including record deliveries of 502 737s, 102 777s, 126 787s, and 37 Airbus A350s. In addition, we delivered 494 Airbus A320s. Also, as recognition of our performance and engineering capabilities, we were awarded additional scope of work on one of our existing programs. As shown on slide two, 2015 revenues were $6.6 billion, steady versus 2014 supported by a strong portfolio of programs like the 737 and the A320, where production rates continue to climb upward through the rest of this decade. The A350 and the 787 programs which are in a significant production upswing, and the 777 program which is now in the transition period ahead of the 777X launch in 2020. So, now turning to slide three, our segment results for 2015. Fuselage segment revenues were $3.4 billion, driven by higher A350 deliveries, and partially offset by the price step down on the 787 program. Operating earnings were $607 million, reflecting the flow-through benefits of prior initiatives on one-time productivity improvements, cost reduction actions, and some performance incentives. Propulsion segment revenues were $1.8 billion supported by modest increases in Boeing mature programs, as well as the BR725 program, mitigated by lower non-recurring sales. Operating income was $378 million reflecting improvements on our mature program work and again some one-time performance incentives. Wing segment revenues were $1.4 billion for the year and reflect the divestiture of the Gulfstream program. Wing segment operating earnings were $179 million and were diluted by one-time asset impairment charge we took in the fourth quarter. On the 787 program, we delivered a total of 126 shipsets in 2015 and the deferred inventory balance grew overall by $7 million, primarily driven by the price stepdown and offset by continued improvement in our cost performance. Our current block will end late this year and we remain on track with the plans that we set out almost two years ago. On the A350 program, we delivered a total of 37 shipsets in 2015 compared to 16 shipsets in 2014. More importantly, the average deferred inventory per unit this year was $1.9 million. In the fourth quarter, our latest units delivered are averaging $1.2 million. And excluding some one-time supplier costs, the results were even better. The teams continue to make good progress on our costs and working down the learning curve on this program. But as we have repeatedly said, there's still a lot more work to do, which brings us to EPS on the next slide, slide four. We reported EPS of $3.92 versus $3.57 last year, which shows a healthy 10% year-over-year improvement in our core earnings. This is the result of the numerous actions put into place starting in 2013 and 2014 that are now starting to flow into our bottom line. GAAP EPS was $5.66 which includes $1.74 for the full release of the deferred tax asset valuation allowance. While we still have more work to do in general, I can say that Larry and I are pleased with the extent to which the teams are identifying initiatives, creating and capturing value as we continue our focus on labor productivity, overhead expenses, and consolidating key support functions such as engineering, procurement, IT, and also finance. We are also making progress in doing a much better job, closing in on opportunities to balance our known and sometimes unknown risks that are inherent in our industry. Turning next to free cash flow on slide five. 2015 cash flow included several one-time benefits, many that we have previously discussed. Starting with reported free cash flow of $930 million, we exclude $192 million in cash received as part of the 787 interim pricing agreement. Adjusting for that free cash flow was $738 million, which is within the range I gave you last year of $700 million to $800 million for 2015. As you may recall, this interim cash received was treated as a deferred revenue and excluded from our guidance in 2015. The $738 million included a number of significant positive one-time items that occurred in 2015, including the tax refund received last year as a result of the Gulfstream program divestiture, the favorable settlement with General Dynamics, as well as the suspension of the 787 advance payments we had in the early part of last year. As we have stated before, we remain committed and confident to achieving industry benchmarks of steady and consistent 6% to 8% sales to cash conversion in the next few years. So now turning to our 2016 guidance, we expect revenues to be between $6.6 billion and $6.7 billion, which reflect the higher deliveries on the Airbus A350 and A320 programs and steady rates on the 787 and 73 (sic) [737] (00:16:33) programs this year, as well as lower deliveries on the 777, the 747 and the Airbus 330 programs. I want to highlight that while our guidance takes into account all of the Boeing production rate announcements made last week, we've applied our best assessment into our guidance and will continue to work diligently with our customer on the exact detail and timing of these changes. Based on this, we are guiding 2016 EPS to be between $4.15 to $4.35, again, reflecting a strong year-over-year improvement in our earnings as we continue to focus our efforts to improve our performance and cost structure. We are guiding free cash flow to between $350 million to $400 million. This guidance excludes the disposition of the 787 interim cash. Our focus on cash continues as better performance offsets the significant headwinds of higher advance repayments, higher working capital requirements on the A350 program, as well as the impact of the 777 and the 747 lower deliveries in 2016. Our guidance is based on an effective tax rate of 31.5% to 32.5%. And lastly, since I don't have to talk about adjusting for valuation allowances anymore, we'll be happy to take your questions now.
Operator: Our first question comes from the line of Robert Stallard with RBC Capital Markets. Your line is open.
Robert Stallard - RBC Capital Markets LLC: Thanks so much. Good morning.
Larry A. Lawson - President, Chief Executive Officer & Director: Good morning, Robert.
Robert Stallard - RBC Capital Markets LLC: Larry, maybe on the A350. Obviously your deliveries to Airbus are significantly in advance of what they're actually delivering to the airline. I was wondering if you can give us some idea of how you expect your delivery profile to pan out over the next 12 months relative to what Airbus is saying,
Larry A. Lawson - President, Chief Executive Officer & Director: Well, really, I'm not going to provide any Airbus color in terms of, I'll kind of say, a projection. I have been paying attention to what they've been telling folks in terms of what they're going to deliver in 2016, which was a pretty course (00:19:12) output. We're making tremendous headway, I guess, is what I would say, as reflected in the 4Q deliveries. And so I think if you were to just take 4Q and look at 2016, you could make kind of a bottom end assessment of an expectation. And other than that, I really probably shouldn't get into the details of the contract, but that's probably – give you a good enough sense of kind of what the lower end of the projection would be. And you have to remember, obviously, there's quite a bit of lead time between our deliveries and in the very end of Airbus, there'll be – I mean, as we're ramping rate, they are progressively behind us. And then those takt times shorten as both our rates and their rates go up.
Robert Stallard - RBC Capital Markets LLC: So just a quick follow-up. You're not worried that there could be sort of a hiatus or a plateau as they burn through some of the (00:20:14)...
Larry A. Lawson - President, Chief Executive Officer & Director: We've seen nothing, Robert. We have seen absolutely nothing that would indicate that. I think that their specific issues have been well defined. So, I don't think I'm speaking on a class, but saying that they've had some challenges which, I think for the most part, they've been handling at the end of their line and keeping their line running. And yes, they resolve any specific issues. And it's not, by the way, uncommon to see these kinds of things happen as you transition to production and then ramp up in rate. So, my experience with them is they manage these issues as they come and do a great job overall of making things work.
Operator: Thank you. Our next question comes from the line of Carter Copeland with Barclays. Your line is open.
Carter Copeland - Barclays Capital, Inc.: Hey. Good morning, gentlemen.
Sanjay Kapoor - Chief Financial Officer & Senior Vice President: Good morning, Carter.
Larry A. Lawson - President, Chief Executive Officer & Director: Good morning.
Carter Copeland - Barclays Capital, Inc.: Just a clarification quickly and a question that – I noticed, Sanjay, the deferred revenue item still is on the balance sheet. Does that mean that that interim pricing agreement has been extended? I thought that sort of closed at the end of the year, but just color on that. And then, one for Larry, just – I know there was an article out. I guess it was last week or the week before, kind of highlighting that you guys were looking to bolster the executive team with maybe another member as part of a long-term succession planning process. I don't know if it wasn't an official Spirit communication, but...
Larry A. Lawson - President, Chief Executive Officer & Director: Yeah.
Carter Copeland - Barclays Capital, Inc.: ...anything you can provide on the thinking around that would be very helpful. Thank you.
Larry A. Lawson - President, Chief Executive Officer & Director: Okay. You want to go first?
Sanjay Kapoor - Chief Financial Officer & Senior Vice President: Sure. Carter, let me just take the first question first. As far as the deferred revenue is concerned, there are two components of that deferred revenue, if you remember. One was some sort of interim statements on a recurring basis that are in fact tied to a settlement last year, which did not happen. But again, like – I want to get into all aspects of these settlements. That money was not in my guidance. I excluded it and sometime that'll get paid back. But the other component of the deferred revenue was also, as you remember, we were investing in the rates on the 787 and I told you that we will treat that payment from Boeing as well as a deferred revenue because that kicks in when we in fact start delivering at 12 aircraft per month. So, those are the two balances in those accounts. It kind of bounce between the short-term deferred and the long-term deferred based on sort of what is in the 12-month cycle, but that's really what you're seeing on the balance sheet.
Carter Copeland - Barclays Capital, Inc.: Great.
Larry A. Lawson - President, Chief Executive Officer & Director: Wait. You did such a great job on that one. You want to take the second one? Yeah, no, that's a good question, Carter. So, I guess, let me put everything in context here. First of all, it's kind of interesting to me, we, over the last three years, have been incredibly focused on adding talent to our team. And it hasn't really provoked many questions up until this recent report. We're still just in the business of trying to find talent. And just to give you a sense of calibration, in the last three years, of our top 98 jobs, 89 people are either new to the company or new to their jobs. So, on our top 98 leadership positions, 89 of those are new. And so, I mean, we have obviously been working very hard on it overall. That said, and to be honest with you, we've kind of slowed down at the, I'll say, at the executive leadership team level. But we're always looking for talent. Fundamentally and most of our energy, frankly, has been down further in the organization as we continue to improve ourselves. But as we kind of consider all the things that we have to do, we often look around at each other and go, okay, who's adding this to their day job. And so, it's clear that we need more bandwidth on the team. And so, it's funny, I mean, we've been out looking for additional talent at the ELT level for well over a year. So, as it relates to long-term planning, I mean, I guess, I don't want to say we don't have a plan but I mean, let me just say, if and when we do have a succession plan it will be very comprehensive and well thought out with a good transition plan and there's no imminent – I think there was some reference to my contract expiring and if my – if those of you who studied my contract, it's public, I mean, it's an evergreen. It automatically renews. So, there is no really stress there or anything. So, it's really just, I would just say, it's really business as usual for us in terms of trying to improve our team. And then like I said, I think succession planning is a good thing. I can't say it's a bad thing. I think it's something that you have to be prepared to do. And so, when we do a plan, we'll make sure that it's – when and if we get that done, we'll make sure that it'll be a very thorough and well-thought-out plan.
Sanjay Kapoor - Chief Financial Officer & Senior Vice President: Carter, if I could just add, the number of Saturdays that the boss shows up and the weekends he shows up here that drive the business and the detail, I don't think I've seen any change in that, Carter.
Carter Copeland - Barclays Capital, Inc.: Well, that's good. Thanks for the color, Larry.
Larry A. Lawson - President, Chief Executive Officer & Director: Yeah. Thank you.
Operator: Thank you. Our next question comes from the line of Myles Walton with Deutsche Bank. Your line is open.
Myles Alexander Walton - Deutsche Bank Securities, Inc.: Thanks. Good morning.
Larry A. Lawson - President, Chief Executive Officer & Director: Good morning, Myles.
Sanjay Kapoor - Chief Financial Officer & Senior Vice President: Good morning.
Myles Alexander Walton - Deutsche Bank Securities, Inc.: I wanted a clarification of the clarification that Carter just asked. Sanjay, were you saying that the interim pricing negotiations had concluded unsuccessfully and effectively had concluded or were going to be extended for a period of time? And then the other question really is on the 737. I think the market has got a little bit confused from last week and Boeing on their 737 guidance. It looks like it's not disturbing your delivery rates and it sounded like you're looking for that kind of 40 – the 500-plus aircraft deliveries in 2016 as well on the 737. So, can you help us straighten out what would be an implied 30 aircraft or so delta between Boeing saying they're going to deliver over the last couple in the current year versus what you seem to be delivering?
Sanjay Kapoor - Chief Financial Officer & Senior Vice President: Sure, Myles. Let me take the first one first. I know many of you have many questions often about the negotiation that we enter into with our customers which as we've talked number of times in the past, they're holistic, they're large, they're complicated, they have a number of factors and then they usually know sort of one-time definitions of it's sort of concluded or – we, during the course of the year, make a number of sort of settlements and conclusions as we go along. Those discussions are still in play. And we'll always remain in play because these are – there are many different versions of contracts and things like that. So, I don't want you to feel that it was concluded and nothing happened or anything like that. They were certain arrangements we have made in terms of getting interim payments. We had a time associated with that. That time expired. And we are still in discussions. And so that process will continue. And we work really hard actually with both Boeing and Airbus. And on the strength of our performance and the value that we bring to the table and the capability that we offer and the cost structure that we offer and the cost reduction we work on together. So that at least from our perspective will continue.
Myles Alexander Walton - Deutsche Bank Securities, Inc.: Okay.
Sanjay Kapoor - Chief Financial Officer & Senior Vice President: Now your second question in terms of rates. Our rates are flat. They're based on skylines (00:28:36) that we receive from our customers and those are the rates that we are producing too. I listened to the same Boeing call that some of you guys did. But as far as we are concerned, we are delivering to the rate and the shipsets that I'm showing you which are exactly flat.
Myles Alexander Walton - Deutsche Bank Securities, Inc.: How many maxes are in there? I mean, it sounded like you deliver your first in the fall and is it a handful?
Sanjay Kapoor - Chief Financial Officer & Senior Vice President: Myles, I would be crossing the line if I gave you specifics on the max. I think that's much more a question for Boeing, if you don't mind?
Myles Alexander Walton - Deutsche Bank Securities, Inc.: Sure.
Sanjay Kapoor - Chief Financial Officer & Senior Vice President: We're restricted from what we can talk about from that perspective.
Myles Alexander Walton - Deutsche Bank Securities, Inc.: All right. Thanks.
Sanjay Kapoor - Chief Financial Officer & Senior Vice President: Thanks, Myles.
Operator: Thank you. Our next question comes from the line of George Shapiro with Shapiro Research. Your line is open.
George D. Shapiro - Shapiro Research LLC: Yes. Good morning.
Sanjay Kapoor - Chief Financial Officer & Senior Vice President: Good morning, George.
George D. Shapiro - Shapiro Research LLC: Sanjay, I was wondering if you'd go through the cash flow guidance of 2016 a little bit more because I would have thought it's been a little bit higher, but you may have bigger rate build on this 350 than I thought, and certainly I had some interim pricing benefit from the 787 in there. And then just on that, do you return that money to Boeing, or with negotiations ongoing, you just kind of just keep it in limbo?
Sanjay Kapoor - Chief Financial Officer & Senior Vice President: George, firstly, you just lost me a beer bet because I was convinced that you're going to ask Larry the first question instead of me the first question, but thanks for losing me that. More importantly, let's talk about cash flow for 2016. Listen, our guidance in 2016 of $350 million to $400 million, like I talked about in my prepared remarks, incorporates – and some of this in your models you may or may not be factoring in, but just to give you an idea, in 2015, the advance repayments that you guys are well aware of, both on the 787 program as well as on the A350, was about $113 million. Just given the delivery increases in 2016 compared to 2015, you're going to see about a 50% increase in that number. Again, we can't get specific because it depends on the exact number of deliveries, but you're going to see a very sizable headwind in 2016 compared to 2015 as far as returning that advance payment. I mean, the good news here, George, is Larry and I are going to have a drink the day sometime in 2017 when we are done paying off at least with Airbus. The Boeing repayments will last a little longer. But sometime in 2017, that headwind will disappear. The second thing is as we are ramping up on the A350, and it's a significant ramp-up, there's a sizable working capital impact not only on inventory, but also on just calculate the number of units we have at the end of the year and the receivable impact that we have on that, and sometimes even the – just those things. And then the last thing is, and as I told you, I incorporated into our guidance on cash flow all of the impact on the rate reduction of 777, as well as the 747. And at least, you know that those are important programs to us. So that's as far as cash flow is concerned. I've already forgotten your second question. I think your second question was do we return money and all that. Listen, that's part of our negotiations. We don't want to get into all aspects of that on a call like this.
George D. Shapiro - Shapiro Research LLC: Okay. My quick question for Larry was going to be you've delivered 53 A350s now, Larry. You've been saying when you get close to 100, you'd get pretty comfortable. But with over 50, kind of what's your comfort level as to where you need to be?
Larry A. Lawson - President, Chief Executive Officer & Director: Yeah. Yeah, George, you asked somebody's question for sure. Yeah, I think I've said this that, and it's obviously becoming clearer as the deferred comes down, that the visibility on the moving components of the recurring price become clearer. I think, again, the most powerful component on the actual cost is the rate. So I can sit here and talk to you about, I think, my confidence around the labor learning curve. I could talk to you about the cost-downs, our negotiated material cost-downs, et cetera, which I think we're feeling better about. But there's two other variables, rate being the most powerful of those, as rate is the most significant part of that because it's consuming your fixed cost against that and it's going to kind of define when we hit that crossover point between cost and price. And I think that's what everybody is really trying to get a sense of. And as Robert asked in the very first question, "So hey, Larry, what do you predict the rate to be this year?" I mean, we're in that dynamic phase where we're all – it's going up and then some prediction about when. So what I would say is there's that component. The other piece is the negotiations that are ongoing relative to negotiating the costs associated with the changes and where that will proceed. So the best thing I can offer you is that the clarity around the cost, the visibility around the cost is getting better and our performance obviously helps us, aids us frankly in our discussions with our customer as well as aids us in our ability to achieve our rate. And I don't have a number for you. I wish I did, but I think what you'll see next quarter when we talk is you'll see, again, an improving reduction in the deferred and probably a better visibility next quarter in what the outcome will be in terms of deliveries for the year. And so I'll leave it at that, George.
Operator: Thank you. Our next question comes from the line of Doug Harned with Bernstein. Your line is open.
Doug Stuart Harned - Sanford C. Bernstein & Co. LLC: Thank you. Good morning.
Larry A. Lawson - President, Chief Executive Officer & Director: Morning, Doug.
Doug Stuart Harned - Sanford C. Bernstein & Co. LLC: I wanted to go back to the 737. Boeing has announced that it's taking its rate up in 2019 to 57 aircraft a month. And so when you look at that rate increase, what does that mean in terms of the footprint that you need to produce the airplane going to that rate, the investments that are required? And also has it changed the way you thought of going to 52 aircraft a month, now that 57 aircraft is the target?
Larry A. Lawson - President, Chief Executive Officer & Director: Yeah. It doesn't – we have an approach for both. The good news is neither require a new building. We can figure out how to get this under the roof, which is very important, right? And so I think we have a good sequencing play and that walks us from 47 aircraft to 52 aircraft and then from 52 aircraft to 57 aircraft. And frankly, the breakpoints are more around capacity of product as opposed to facility needs to incorporate more width. And we continue to refine it. I can tell you that this is something that our team spends a tremendous amount of time on. I personally invest a lot of time on making sure that we do this in the most effective and efficient way possible.
Doug Stuart Harned - Sanford C. Bernstein & Co. LLC: And when you head to that 57 aircraft number...
Larry A. Lawson - President, Chief Executive Officer & Director: Yeah.
Doug Stuart Harned - Sanford C. Bernstein & Co. LLC: ...when you look forward, when do you start to have to pull the trigger on it? How have you become comfortable that that's a rate that you can invest in and stay at and not having to pull back (00:36:53)?
Larry A. Lawson - President, Chief Executive Officer & Director: Yeah, that's a great question. I would just say that our first objective obviously is to minimize the impact of the rate, to be creative in terms of how we do our work out in the factory. But no, we do have a plan, and we haven't hit the point at which we need to invest in 57 aircraft. But back, I think, to your fundamental point, which is how do you feel about sustaining that rate or what would you do, and that's all part of the conversation that we have with Boeing around the overall proposition itself and kind of how we go forward together, and I'll just leave it at that. And you've seen that historically that we've worked together and come up with equitable terms with each other to make these things happen, and we would expect to negotiate the same thing going forward.
Operator: Thank you. Our next question comes from the line of David Strauss with UBS. Your line is open.
David E. Strauss - UBS Securities LLC: Good morning. Thanks.
Larry A. Lawson - President, Chief Executive Officer & Director: Morning, David.
David E. Strauss - UBS Securities LLC: I guess one clarification question and then another question. You said you've assumed a 777 rate cut in your guidance today. Can you clarify exactly when you see that coming through? In other words when do you step down in rate? And then my other question is around the 787. I think you'll get through your block, Sanjay, here in Q3 roughly of this year. What have you assumed as far as the go-forward block in the guidance, and what margin have you assumed on that block? Thanks.
Larry A. Lawson - President, Chief Executive Officer & Director: Well, I'll take the 777 question. On the 777, we do actually have a step-down in rate this year in anticipation of Boeing's announced rate reduction. It's a 4Q rate reduction. So we proceed their 2017 rate reduction by about a quarter. Do you want to take the 787?
Sanjay Kapoor - Chief Financial Officer & Senior Vice President: Thanks. David, yes, you're absolutely right. I mean, obviously when I gave you guidance, I've baked in my assumptions. That block, we finished our current block towards the end of the third quarter probably. So sometime later this year, we'll have to make a couple of decisions in terms of block sizes, like I talked about at the last call. Obviously, it does depend on our negotiations. We've always said this on 787-9's, 787-10 pricing. Having said that, I will tell you we have very good solid interim pricing arrangements. So I don't want you guys to sit there and say just because we haven't concluded or something like that. I've obviously made the right assumptions that I feel confident about for the second block and that's what's baked into our guidance. Now in terms of specific margins, I've spent the last two years trying to wean everybody off getting into margins by program. And I apologize, but that's where I'd like to leave it, because we don't want to get there. We want to try and help you understand our business in its entirety. Both for cash flow as well as for earnings, we made assumptions and I'm very comfortable with the guidance that we've given you. That obviously includes the second block or the start of the second block.
David E. Strauss - UBS Securities LLC: Not to get specific, but is it safe to assume you've assumed a positive margin on the next block on 787?
Sanjay Kapoor - Chief Financial Officer & Senior Vice President: Ouch, you know I really don't – David, I don't want to answer that question, please. Again, I want to take us away from positives or flat or changes on all of these programs. Our focus, as you've seen, at the end of the day for the last two years, I know we've been harping on those as to not just work on the sort of 20% programs that need help, but also on the 80%, so that we can give you an overall guidance of the company and look up at our portfolio in terms of total performance. So I know I'm ducking your question, but I don't want to get into program by program margins.
Operator: Thank you. Our next question comes from the line of Cai von Rumohr with Cowen & Company. Your line is open.
Unknown Speaker: Good morning. I was wondering on the 777 rate cut that's coming toward the end of 2016. Have you factored in some impact there in your guidance, and how much share count are you assuming in the EPS guide going forward?
Sanjay Kapoor - Chief Financial Officer & Senior Vice President: Sure. The 777, I think Larry just tried to answer that question. As our lead times are about three months, four months ahead of Boeing's and, as you know, Boeing announced the rate reduction on the 777 starting in 2017, and so we've absorbed that into our guidance. Your second question in terms of – and I'm assuming it's associated with the new share repurchase program that we announced of the $600 million, and others might have the same question, there is no impact assumed in my guidance associated with this new share repurchase program, because I couldn't do that. Those will be determined as we go through the year, and there's no way I could have made some guesses on that part. So the $4.15 to the $4.35 EPS guidance that I've given does not include any additional share repurchase impacts that we may see during the course of 2016.
Unknown Speaker: That's very helpful. Thank you.
Operator: Thank you. Our next question comes from the line of Howard Rubel with Jefferies. Your line is open.
Howard Alan Rubel - Jefferies LLC: Thank you very much. Sanjay, not to beat a dead horse, but we're going to try on gross margins for a second at the corporate level.
Sanjay Kapoor - Chief Financial Officer & Senior Vice President: Sure.
Howard Alan Rubel - Jefferies LLC: If we look at your guidance, it would appear as if you can still show some improvement in gross margin despite the fact that you have adverse mix. Can you or Larry address how you're able to do that?
Larry A. Lawson - President, Chief Executive Officer & Director: Okay. Yeah. I'm not – the math is a bit complicated, but I'll just focus on kind of the point I made in my talking points regarding 2015 and 2016 regarding cost reduction. So our efforts, I think there might be some sense that we took all the costs we could out of the enterprise in the first two years, and we're kind of down to a diminishing set of options. And I think on the surface that would appear to be the case. But frankly, what's happened is, as we've learned the business better, and I hate to say that quite that way, and have deployed our talent, the level of visibility in the number of options that we're pursuing to reduce cost have expanded. And that's kind of why I made the comment earlier about bandwidths. I mean we – not only am I talking about the inherent operations that we have, but it's also our kind of future options as we look into 2016. I guess, Sanjay kept saying next year, and I keep saying, Sanjay, 2016, it's this year, we're already a month in. But when we think about this, we're not just thinking about. So what's happening is we're seeing the benefits, and I think Sanjay alluded to this, of the reductions in 2013 as they kind of come to fruition, you see the full manifestation of those; 2014, the same thing; 2015, the same thing. And then the number of things that we've cut into the 2016 plan continue to yield results. That's why it's always kind of a complex conversation because I think we see all the moving parts, and then we have to kind of describe this to you in rather larger terms. And that's probably the best way I could explain it, Howard, without kind of walking you through the specific overhead. That's why I kind of made a reference here to overhead to logistics. I mean, it doesn't matter whether we're talking about airfreight, negotiating new ground, new logistics, 3PLs, overhead, closing facilities. I mean, we're being much more comprehensive in our view today, again, fundamentally for two reasons. One is that people have been in their jobs for a while now and they have the ability to kind of go after it. A lot of the initiatives that we've taken hold of now people really kind of get it. And a lot of hard work, a lot of Saturdays and a few Sundays.
Howard Alan Rubel - Jefferies LLC: Well, just to follow up on that...
Larry A. Lawson - President, Chief Executive Officer & Director: Yeah.
Howard Alan Rubel - Jefferies LLC: ...for half a second and I appreciate that.
Larry A. Lawson - President, Chief Executive Officer & Director: Sure.
Howard Alan Rubel - Jefferies LLC: You did state that you were able to expand the scope with a particular program.
Larry A. Lawson - President, Chief Executive Officer & Director: Yeah.
Howard Alan Rubel - Jefferies LLC: Could you elaborate on that? And then also could you talk about other opportunities that could in fact lead to a higher revenue number than the high end of your guidance. Thank you.
Larry A. Lawson - President, Chief Executive Officer & Director: Sure, sure. It's an interesting thing. First of all, I can't really expand on the reference to the additional statement of work. And I'd just say you'll get a chance to look at our 10-K here and any material contract mod is in there. So that's the best I can offer you on that particular point. And I did reference the pursuit of other new business. And so what I would say about that is it's a fantastic thing to get new business. Seldom does it offer you near-term revenue. It's usually an opportunity to invest. So the truth is that there is a pretty good investment, a bit capital tied with that additional statement of work that's in our 2016 guidance that – frankly, it doesn't move the needle much on revenue or EPS in 2016, but obviously in future years it will. But today, again it's a bit of investment. And so as we kind of – this is always about – as we look at these opportunities that we have, and there are some, that's kind of the way it lays out. And sometimes our customers let us talk about these things and sometimes they don't, and so that's just the way it is. And what we try to do as I think when we give our guidance, Howard, is to be very responsible and, I don't want to use the word conservative, but not overly aggressive maybe is a better word to use, and do the best we can to communicate that with you because we know you also have a responsibility to try to model these things. And it's kind of a challenging place to be. But ultimately, I think the thing that's encouraging is that it's good news that we can go out and secure new business.
Operator: Thank you. Our next question comes from the line of Robert Spingarn with Credit Suisse. Your line is open.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): Morning.
Larry A. Lawson - President, Chief Executive Officer & Director: Morning, Robert.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): On the A350, Larry, you talked about the $1.2 million deferred and the importance of volume. I think seems like in 2014 in Q4 you're a good bit higher than Q3, but only about halfway to the target mature volume. So it seems like, and I think you've said, deferred is going to continue to come down, but you're already at the point where you're above breakeven by I think the delta between the content you thought you had when you started and what you ended up with, given that the scope increased. So how much further can you go before you have a renegotiated solution with Airbus?
Larry A. Lawson - President, Chief Executive Officer & Director: Yeah. No, both things have to happen. Clearly, I think I've been very clear about that, and I think you're absolutely right on. You need both of those things to transpire. But I would say that I would hope that if – and I think you've been watching this now for a number of years. I mean, in my tenure, the number – well, just two years ago, it was $26 million per. And then I think beginning of 2015, it was – was it 2013, 2014?
Sanjay Kapoor - Chief Financial Officer & Senior Vice President: 2014.
Larry A. Lawson - President, Chief Executive Officer & Director: ...2014, ending the year at $1.2 million. So I think you're getting a good sense of the trajectory there. And as I look at the numbers, I have a little more visibility. But I look at the numbers going into the next Q, again, the trend continues. So, we're on a good trajectory down, and we need to continue to – again, as I said, rate is an important factor. To your point, you can't keep dividing a positive number and get below, but I didn't mean to imply that was the only factor. It's just – when you take the cost and you break them up into the constituent elements you see depreciation and a number of fixed costs that get divided by the rate and it's pretty powerful. But we're also taking costs out simultaneously and then obviously we're negotiating. So, all those things have to happen and they are.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): Yeah. The point I was trying to make, Larry, is that you are outperforming here. I mean, against what may be the price should be, you might be at breakeven now.
Larry A. Lawson - President, Chief Executive Officer & Director: Do you want to take...
Sanjay Kapoor - Chief Financial Officer & Senior Vice President: No. Robert, listen, I got to take you with me for our negotiations. No. Listen, we've said this – we've always said with all of our customers when we, not negotiate, when we justify, we do it on the strength of our performance; we do it on the strength of data and facts and figures. And to be very candid, we also work on cost reduction initiatives with our customers to try and lower this cost even more that benefits, not just us, but benefits them as well.
Larry A. Lawson - President, Chief Executive Officer & Director: I think Robert's point is we're doing pretty well and we just need to continue to do that.
Robert M. Spingarn - Credit Suisse Securities (USA) LLC (Broker): Yeah. Given the scope. Sanjay, I had a quick one for you as well. This is actually the question that – or a follow-up on George's question on the cash flow. And I have tried to go at this in prior calls, but how do we think about an apples-to-apples comparison 2015 to 2016, in other words, taking out the tax refund, the Gulfstream refund, the settlement with General Dynamics, the advances and so on, just to get an idea of how we compare the $350 million to $400 million in 2016 to what a comparison would be in 2015?
Sanjay Kapoor - Chief Financial Officer & Senior Vice President: Robert, that's a very fair question. And I struggle with that too because not in terms of the absolute mathematics of it, but obviously inside, I have a number of which I referred to. I had a number of one-time events in 2015, some of which you know about. We articulated the three big ones that you know about. Some others that you can probably detect in the verbiage that we use whether it be sort of one-time performance incentives or supply rebates or some negative headwinds associated with settling historical claims and things like that. So, there's lot more one puts and takes in 2015. That's why I was trying to get everybody to look at and focus at 2016 because it's a lot cleaner in terms of taking up performance and converting that into cash. Clearly, there are those three things that I mentioned, headwinds in 2016 such as the higher advanced repayments, the 777 and the working capital associated with these rate increases that we are seeing. And if I could show you all the math inside that I see, I do feel that we are continuing to do year-over-year improvement. And that's a result of all the cost reductions that Larry has brought to this company and the entire team has worked on. That's the inherent improvement in free cash flow that you are seeing. I know it's difficult for you to tie into your model then I apologize, but there are so many one-time things that happened in 2015 that I almost feel that you should look at 2016 in the context of what I described and that should give you what we truly deliver. Now the last thing I'll tell you is, we always said to you that we want to sort of benchmark ourselves against our peer group and get to the best 6% to 8% cash conversion and over some period of time, we are quite confident that we will get there.
Operator: Thank you. Our next question comes from the line of Seth Seifman with JPMorgan. Your line is open.
Seth M. Seifman - JPMorgan Securities LLC: Thanks very much, and good morning.
Larry A. Lawson - President, Chief Executive Officer & Director: Good morning, Seth.
Seth M. Seifman - JPMorgan Securities LLC: Good morning. Larry, the step-up in the share repurchases, I think, maybe was a little bit more or came a little bit faster than you might have expected. Did anything change with regard to your philosophy of how you're approaching that, and also with the new authorization, anything to read into how you guys are looking at the M&A environment or the opportunity to do other things with your cash?
Larry A. Lawson - President, Chief Executive Officer & Director: Seth, I'll say it to you simply as I can. So, nine times P/E.
Seth M. Seifman - JPMorgan Securities LLC: Fair enough.
Larry A. Lawson - President, Chief Executive Officer & Director: And I mean, nine times P/E, when I look at my options, given the volatility of the marketplace, I know how well my business runs. And so I just – it's the best investment, I think, we can make, and let's leave it at that. I mean, I'm kind of – I mean, frankly, I wonder on these calls sometimes whether we could ask you guys some questions, but I'll just answer that one that way.
Seth M. Seifman - JPMorgan Securities LLC: Fair enough. Thanks. Maybe if I could follow up quickly, Sanjay, the CapEx guidance, it's about a little over $100 million decline at the midpoint this year. But I know that last year, you were funded to some degree for a lot of the investments. So on a net basis, what's happening to CapEx as we go from 2015 to 2016? And then when we're done at the end of 2016, where will you be capacity-wise on each of the growing programs?
Sanjay Kapoor - Chief Financial Officer & Senior Vice President: Sure, Seth. And again, this goes back to Robert's question, the previous one, which is how many one times and how do you compare 2015 to 2016. And you're absolutely right. 2015 incorporated some one-time payments associated with the investments in the 12 aircraft per month. I will tell you, without getting – I can't get too specific, but again, adjusted for those kinds of payments, and there are some small payments this year as well, but adjusted CapEx in 2016 is a little bit higher than in 2015, from my perspective, in terms of our cash flow. More importantly, your question about where does this put us in terms of rates, we are completely committed to the 12 aircraft per month on 787. We are committed to the 47 aircraft per month on the 737. Larry talked about the A320 and the A350 program. All of those program ramp ups are what we have committed to, and we are absolutely on track based on these capital expenditures.
Operator: Thank you. Our next question comes from the line of Jason Gursky with Citigroup. Your line is open.
Jason M. Gursky - Citigroup Global Markets, Inc. (Broker): Yeah. Hey. Good morning. Hey. I know we're supposed to be only asking one question, but since everybody else has asked two, I think I'll go ahead there as well. On cash, can you just confirm that we have to re-baseline the cash flow for the company, and that as we're assessing the go forward, 2016 is where we're going to grow from? And then, Larry, for you on the cash deployment side, I understand and appreciate the 9 times response to your question. But I got to imagine that if you believe in the longevity of the cycle, and we've seen asset prices come down not just in your stock, but across the board, that there might be some opportunities here on the M&A front. Can you just talk a little bit about what it's going to take for us to see you deploy some cash into M&A to supplement the growth outlook for the company?
Larry A. Lawson - President, Chief Executive Officer & Director: Yeah. Well, look we, let me – do you want me to – let me take the second question, if you don't mind.
Sanjay Kapoor - Chief Financial Officer & Senior Vice President: Sure. Sure. Go ahead.
Larry A. Lawson - President, Chief Executive Officer & Director: The answer is we haven't stopped looking. We're out there looking every day, and, it's like anything else. Life is a choice of alternatives. You go to the grocery store and you look up there and you decide, hey, am I going to buy A or B? I mean, it's – well, sometimes, I mean, you buy A and B. If I'm shopping, you buy A and B. But in any case, so we're out looking. I think the thing that – and there are few things out there that have caught our interest. But the truth is, right now, as I – and by the way, we're not – just to be blunt, we can do a share repurchase. We can deploy capital and still pursue M&A. We're not a highly levered company. And so one doesn't preclude the other. And so I wouldn't think of it that way if I were you and we'll take advantage of the opportunity when we see it. Again, when we look, we're looking for businesses that have the right contracts and the right programs to be more candid where you think you're going to get your investment and you can see an inherent efficiency that makes the acquisition accretive immediately and whatever premium you might pay that you can make up for it. So, to your point where we sit in the cycle right now, we're watching very, very closely. But I have to admit, we're even astounded where things sit right now. So we're watching. I'll just leave it at that and just say – and leave it with, hey, in our mind, one does not preclude the other.
Jason M. Gursky - Citigroup Global Markets, Inc. (Broker): Okay.
Ghassan Awwad - Director-Investor Relations: Operator, we have time for one more question, please.
Operator: Currently, our last question comes from the line of Ken Herbert with Canaccord. Your line is open.
Ken Herbert - Canaccord Genuity, Inc.: Hi. Good morning. And thanks for letting me squeeze this in. First, just a clarification and then a question. First, on the A350, can you quantify what the $1.2 million per aircraft in the deferred would have been excluding the one-time supplier issue? And then, second, in terms of a question, Larry, you've talked a lot about and we've talked a lot about the cost initiatives you pushed initially from a CapEx standpoint and overhead and everything else. But as you really start to tackle sort of the supply chain in your procurement, can you provide any more specifics on the potential impact in 2016 or 2017 as you attack your purchasing and the contracts, and as they roll off and what upside or what the impact could be on the cost structure from that standpoint not just this year, but moving forward.
Larry A. Lawson - President, Chief Executive Officer & Director: Yeah. I can't be quantitative, as you know, but I could – let me provide some color. And I think I've done this previously is that what we're doing is aggregating the types of business that we do. We spend – the majority of our revenue goes to procuring material. We leverage the OEMs buying contracts for most of the raw material. There are some cases where we buy direct because we can – for us, in particular, we can get maybe a better deal because we're very substantial buyers of some particular products. But on the commodity end, I mean, it's more driven by the market. And again, what happens is when these things get hedged in these big buying pools, you don't immediately see – for example, you'd expect with the big downturn in the price of oil to see a big reduction in the – or what you're seeing in the market, reduction in the prices on commodities to see that instantly to our bottom line. It doesn't kind of hit us the same way it does the airlines because a lot of these deals are hedged for longer periods of time. We're seeing some benefit of that but just not as much as I would like anyway. Now, when you think about the other parts of the things that we buy, we buy fabricated parts, we buy sheet metal, very sophisticated sheet metal part, very simple sheet metal parts; we buy simple assemblies. And so what we're doing is we are culling the number of suppliers that we buy from, not just to get rid of suppliers, I mean, although there's an upside to our overhead associated with that, but more along the lines of aggregating our buy to get more organic, buying power, frankly. So as these contracts expire, we've developed a strategy where we kind of combine these things in aspiring terms and then we're negotiating out into the future. And it's not inconsequential, the advantage of doing that. So, again, that's why when Howard asked that question earlier, it's kind of like, boy, there's a lot more still going on in all of this. I was trying to think. What was your other – does that kind of answer that? So that was a question for you, in there?
Ken Herbert - Canaccord Genuity, Inc.: That's helpful. Yeah. Just a clarification, if you could, on the A350 and the one-time impact.
Sanjay Kapoor - Chief Financial Officer & Senior Vice President: Yeah. No, I think Larry answered that, Ken. I mean, again, just wait another quarter. You'll see the elimination of that one-time event and you'll see the results then because we try and refrain from trying to give you all one-time issues that usually crop up. So, we're trying to keep this thing clean for you. We feel the performance is getting better.
Ken Herbert - Canaccord Genuity, Inc.: Okay.
Ghassan Awwad - Director-Investor Relations: That concludes our earnings call. Thank you for your participation today.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program, and you may all disconnect. Everyone, have a great day.